Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Hibbett Sports Third Quarter 2013 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded today, Friday, November 16, 2012. I would now like to turn the conference over to Mr. Mickey Newsome, Executive Chairman, Hibbett Sports. Please go ahead, sir.
Michael J. Newsome: Good morning, everyone. Jeff Rosenthal, our CEO and President is with us; as is our Senior VP of Finance and CFO, Scott Bowman; and our Senior VP of Merchandise and Marketing, Becky Jones. They will all be speaking with you. We appreciate you being on our call today, and we appreciate your interest in Hibbett Sporting Goods. Before we start, Scott Bowman will cover the Safe Harbor language.
Scott Justin Bowman: Thank you, and good morning. In order for us to take advantage of Safe Harbor rules, I would like to remind you that any projections or statements made today reflect our current views with respect to future events and our financial performance. There is no assurance that such events will occur or that any projections will be achieved. Our actual results could differ materially from any projections due to various risk factors, which are described from time to time in our periodic reports with the SEC.
Michael J. Newsome: Thank you, Scott. Now our President and CEO, Jeff Rosenthal, will speak with you.
Jeffry O. Rosenthal: Good morning. As you know from our press release this morning, our third quarter earnings per share were at $0.71 versus $0.59 a year ago, a 21% increase. Overall sales increased 9.6% to $202.9 million compared to $185.9 million a year ago. Comparable store sales increased 6.4%. This marks our 12th consecutive quarter of comparable store sales increase. Comps by month are as follows: August, we were up 8.5%; September, up 4.3%; October, up 5.3%. From a real estate perspective, we opened 13 new stores, expanded 4 high-performing stores and closed 2 underperforming stores, bringing the store base to 848 stores in 26 states. We are still on pace to open 57 to 60 new stores and expand approximately 17 high-performing doors. We have increased our real estate resources to grow even faster next year and for years to come. Our strategy still works well within an additional 400 markets that Hibbett can go to in 26 -- 26-state area in which we currently operate. There is no reason that Hibbett should not be nationwide at some point in the future with over 1,300 stores. We are up low comp single digits through yesterday, November 15. However, we still have another 90% of the fourth quarter to finish. Our inventory is in excellent shape and we have the right assortments, and we look forward into having another good quarter. We are confident in raising our fiscal 2013 guidance to a range of $2.66 to $2.71 and expect comparable store sales in the low- to mid-single-digit range. Our approach is very bright for the future. We are still in the early innings for growth and profitability. I would like to thank all the Hibbett associates for their hard work and look forward to finishing the year on a very high note.
Michael J. Newsome: Thank you, Jeff. Next, our Senior VP of Merchandise and Marketing will speak with you, Becky Jones.
Rebecca A. Jones: Good morning. We were pleased with the overall performance of the third quarter. Back-to-school sales were healthy, and the business shifted as anticipated and mentioned in our second quarter conference call. Branded apparel, footwear and accessories all had strong performances. In activewear, the consumer continues to support branded products. Nike and Under Armour drove sales volume, and Adidas made market share inroads in the men's area. We saw high single-digit comps overall in the branded active area. Highlights were women's active, youth active and men's active areas. We saw strong results in the NBA apparel and headwear, and our high school program is doing well. Adult collegiate apparel performed in low single digits for the quarter, while our collegiate youth and accessory business was soft. Major League Baseball was challenging during the quarter as the San Francisco Giants are not in our market areas. With the majority of our stores in the stronghold states of college football, our upside in NFL is not as impactful to our total. The NFL business does continue to be an opportunity of growth as we expand our base -- store base north. However, during the third quarter, the overall performance was somewhat disappointing. Footwear had a healthy quarter, up strong single digits, and we continue to see good performance in running and basketball across all genders. We were particularly pleased with the kids' footwear performances, as we work towards being the destination for premium footwear in small markets. The Jordan business has continued to drive footsteps into the fashion doors, and high sell-throughs have been achieved. Our supplier partners at Jordan, Nike, Adidas and Under Armour have collaborated with us to identify opportunity. Team sports continues to drive the equipment business, and we achieved a mid-single-digit comp. We had a good football season, as well as a strong performance in basketball and volleyball. The fitness business continues to be soft, and the soccer area grew moderately. Accessories had a terrific quarter, driving sales increases across the board. The back-to-school backpack season was very good, with Under Armour being the very clear winner. Socks accelerated and continues to be a very hot accessory of choice right now. We're very well prepared for cold weather and holiday selling. And with our premium assortment focus, our strong inventory management and store execution, we have confidence to deliver the fourth quarter results.
Michael J. Newsome: Next, our Senior VP of Finance and our CFO will speak with you, Scott Bowman.
Scott Justin Bowman: Third quarter sales increased $18 million to $202.9 million, an increase of 9.6% over the prior year. Fiscal comps were up 6.4%. Gross profit rate increased 55 basis points over last year. Product margin increased 21 basis points, partially due to improvements in assortments and markdowns and the remainder due to mix. Warehouse and occupancy leveraged the remaining 34 basis points. SG&A decreased 67 basis points as a percent of sales in the quarter due to leverage in store labor, debit card fees and stock-based compensation. Depreciation and amortization were under last year's dollars due to lower cost for leasehold improvements for our new stores and resulted in 22 basis points of leverage. The income tax rate for the quarter was 37.3%, which was higher than last year due to the expiration of job tax credits. Operating income of $30.3 million increased 21% over last year and was 14.9% of sales versus 13.5% last year, an increase of 145 basis points. Diluted EPS came in at $0.71 per share versus $0.59 last year, a 20% improvement. From a balance sheet perspective, the company ended the quarter with $75.3 million in cash versus $53 million last year, with no bank debt. Inventories increased 5.1% over last year and were 1% higher on a per-store basis. We have spent $15.1 million in CapEx year-to-date versus an annual plan of $15.9 million. This includes approximately $6.6 million spent for our new office and distribution center. Also for the quarter, the company bought back 207,000 shares for a total of $11.8 million. At quarter end, we have approximately $110 million remaining under the existing purchase authorization.
Michael J. Newsome: Operator, we're now ready for questions.
Operator: [Operator Instructions] And our first question comes from the line of Peter Benedict with Robert W. Baird.
Peter S. Benedict - Robert W. Baird & Co. Incorporated, Research Division: Guys, a couple questions. First, Jeff, just on a unit growth outlook, you'd mentioned that you guys have added some personnel to the real estate team. Can you give us a sense on what you're thinking potentially for next year in terms of openings and also the expansions? What's your thought at this point, longer term? I mean, you just mentioned nationwide. I know in the past, you've kind of talked to 1,300 in 35 states. What do you think that number could be if you do go nationwide? And when do you think that would occur?
Jeffry O. Rosenthal: Well, Peter, we're -- we haven't given out our projections for next year yet, but we do expect it to be up a lot more than it is this year. And we would also like to expand more stores than we have next year also. So we really feel pretty good about adding to our staff that will help us get more deals so that we could grow faster. And our new stores are performing above pro forma, so we feel very confident on our strategy and where we can go. As we go to other states, go more westerly and some other places, there's no reason that we can't double the chain over time. We're building our infrastructure now, really, with a new distribution center that we're bringing online so that we can grow faster and also help drive our revenue with our new capacity. So we're really trying to get ourselves set so we could grow a lot faster than we are today.
Peter S. Benedict - Robert W. Baird & Co. Incorporated, Research Division: That's helpful. And then, just on the shorter term with the softer tone in November, you mentioned kind of the World Series, how that probably didn't help, really. But what -- has the slowdown been concentrated in any category, whether it be footwear or apparel or other? What else can you tell us?
Jeffry O. Rosenthal: Well, Peter, there's couple of things. Last year, Cardinals won the World Series, which we have a pretty good influx of stores around that area, especially the St. Louis area. So that affected us. And also, we shifted a little bit of our promotions, which also made an effect on the early sales. So really not worried about it all because really, people shop later, and it's really about those 2 weeks of Christmas that really matter the most. Because those types of volumes, it's easy because November is sort of like October, not high-volume weeks anyways. It really doesn't matter now. It really matters around December 20.
Peter S. Benedict - Robert W. Baird & Co. Incorporated, Research Division: So just to follow up on that. The promotional shift, did that pull sales, you think, into October? Or did it push them later into November?
Jeffry O. Rosenthal: We're just running it a little bit later. So it was just a little bit of a shift of a couple weeks for us. We set out some promotions that we normally do the first week of November, and we set it out to the third week.
Operator: And our next question comes from the line of Dan Wewer with Raymond James.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: Yes. Mickey, this week, some of your competitors have announced some very impressive growth in their e-commerce channels. I mean, it looks we're probably at the tipping point where sporting good customers are willing to buy both footwear and apparel online. Wondered, I know that historically, Hibbett has not made any investments into that distribution channel. But in light of what you are seeing with some of the competitors, are you rethinking e-commerce strategy?
Michael J. Newsome: Okay. Then, I will turn that over to Jeff. Jeff, you want to answer that?
Jeffry O. Rosenthal: Yes. We're definitely taking looks at it, Dan. From an infrastructure right now, we're putting things in place to be in that position. Currently with our distribution center network and moving in home office, it just does not make sense right now. But we're doing the prework in trying to decide what our stance will be. But right now, with the amount of things going on with the new distribution center, we're also moving our home office, we're -- it's going to take us a couple years.
Michael J. Newsome: Yes, I'll add to that. I mean, it's in our 5-year plan. But we have got so much growth left in just new stores in small isolated markets that it doesn't concern us. But it is on our plan, and we have affiliate programs today that are growing. So we will be there, but we've got a lot going on.
Jeffry O. Rosenthal: One of the things we always talk about when it comes e-commerce, 75% of our business is cash and debit, and a lot -- we're very 1st and 15th of the month driven. So we see a lot of people, as soon as they have paychecks, they go to the stores and they want that instant gratification. Not that, that isn't a reason not to do it, but that's one of the reasons that we're a little bit more isolated from it. Not that we're not losing some share to the Internet.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: Yes. And Mickey, just to follow-up on your comments. There's a lot going on with the new distribution center and the relocation of the corporate office. I know we're not talking about 2013 yet. Maybe, this is a good question for Scott. But can you remind us how the -- running 2 DC simultaneously is going to impact margins, profitability next year?
Scott Justin Bowman: Yes. So for next year, I mean, we're going to be really in the build phase of the DC next year. So we're not going to see a lot of duplicate costs for the DC next year. It's going to be mainly capital. But for the new office, during that transition, we will see some pressure there. I expect that to be about 20 basis points of pressure next year.
Michael J. Newsome: And one big advantage we have on this, we'll be moving the corporate office, in April, just 5 minutes away. We've always had them together, the office and DC, but we're just going to be moving it 5 minutes away. So we'll have a year there to get used to it being separated before it gets to be 30 minutes away. So I think that's a real advantage.
Operator: And our next question comes from the line of Sean McGowan with Needham.
Sean P. McGowan - Needham & Company, LLC, Research Division: I'm wondering if you could share with us what your outlook is and expectations are for the fourth quarter in terms of how mix is expected to change or not change? As well as commentary on what kind of SG&A leverage you think you can get in the fourth quarter?
Rebecca A. Jones: From the mix perspective, we always say our fourth quarter, we see apparel becomes a higher percentage of what our business is, just because of the gift-giving aspect of it. However, it's not different than what it was a year ago. We always -- we will see that pretty consistent from year-to-year. It's very much the same as when you go into back to school, footwear takes a higher percentage of the mix. And in fourth quarter, it really does become apparel, and they have really good margins there.
Sean P. McGowan - Needham & Company, LLC, Research Division: But if that's been something that's been driving gross margins in the third quarter, would you expect a similar kind of upside versus last year coming from the same sources?
Rebecca A. Jones: Well, you would in regards to the fact that the apparel margins are relatively healthy. We do have a couple of things in front of us during the fourth quarter from a national championship perspective. That product always goes up very quickly within a week or 10 days, and that's at top margin dollars, full price. So we'll wait and see whether or not we'll be in the game this year and -- or not, whether it's Alabama or someone else. If it's within our market area, we're happy about that. But you don't know that until it actually occurs.
Scott Justin Bowman: Yes, just going to the comment on SG&A. So I would expect SG&A in Q4 to leverage a little less than what we've seen recently. A couple reasons for that. We expect a little bit lower comp than what we saw in Q3, so you won't get quite as much leverage on store labor. And then another one that, going forward, we've had some pretty nice favorability from credit card fees, the Durbin amendment. Actually debit card fees. That actually cycled in October. And so going forward, that will be flatter. And then the third thing, we'll spend a little bit of money in preparation for our office move, a lot of that getting prepped from the IT standpoint. So we'll see a little bit more expense for that preparation in Q4.
Sean P. McGowan - Needham & Company, LLC, Research Division: Okay, that's helpful. And then one other question. If you could just comment on the performance of the expanded stores kind of relative to stores in comparable markets, how much better are they doing? You've offered us some help in the past on that, and I'd love some color on that.
Jeffry O. Rosenthal: Yes. Those stores, we expect them to perform quite well, and really almost all of them are way above pro forma. Usually by the year 2, we're getting the same bottom line expense than we did before that, with a lot more sales. So they have continued to pay off.
Michael J. Newsome: Yes. Our goal was always to get them back in year 2 to the same percent bottom line, with a lot more sales. And that's -- as a group, we've been achieving that goal. And we have about 120 more that we'd like to expand, and we will do it when the opportunity arises.
Operator: And our next question comes from the line of Rick Nelson with Stephens.
N. Richard Nelson - Stephens Inc., Research Division: To ask Betty about the outerwear, how you're positioned for holiday? North Face, how many doors do you have that product in compared to a year ago?
Rebecca A. Jones: Rick, North Face is in, I would say, about half of what our total store base is at this point in time. We did add a few doors this year, but it wasn't a huge amount that we added to it. We did do some adjustments in regards to where was North Face versus last year. We had some stores that we didn't feel like it performed as well as it should have last year, so we moved it to stores that we felt a little bit more confident in and gave them the opportunity. As far as the outerwear goals in general for the back half, we feel like we're in really good shape from a product perspective, where we have a very nice assortment across the board between Nike and Under Armour. And then in those stores that carry North Face, it's a very clean and well-positioned assortment.
N. Richard Nelson - Stephens Inc., Research Division: Got you. Wondering if you can also update some markdown optimization, where you are with that and what sort of benefits you're going to see from that program?
Scott Justin Bowman: Yes, Rick. So markdown optimization is live, and we are taking some live markdowns for that program. But it's on a very limited basis, and that's by design. We wanted to take a very slow approach to it and make sure that we take our learnings from it and kind of roll that into adjustments to the system, make sure it works the way that we need it to. But so far, so good. The system itself is absolutely working. But with a lot of the different categories and how they react, there's obviously a lot of tuning that we need to do with it. And kind of looking forward into next year, I would expect that it's really learning mode and test mode for us. So you're really not going to see a bounce in product margin next year. But that should set us up for fiscal '15 to show some meaningful improvement.
N. Richard Nelson - Stephens Inc., Research Division: Okay, got you. And finally, if I could ask for some more color on the real estate additions. You talked about more resources, having staff, some color on the size of the real estate department today versus what it was with the new store mix.
Jeffry O. Rosenthal: Yes. We've already hired 2 additional people. We're hiring 1 more. But really what it does is really help us get more feet on the ground. Especially the way we look at real estate, it's still dealing with a lot of mom-and-pop landlords. You have to be out in the marketplace. So really not expanding territories, just putting more people in some of the states that we're in. So we see that as a real positive. We know we'll get more deals. And this -- our staff is continuing to grow. And if we need more people for the opportunity, we'll continue to do that. But we feel very good about where we sit on our staff and the experience levels and stuff like that. So we expect, as next year comes along and they get a little bit more experience, that we'll see more deals in the pipeline. And one of our internal goals is really to try to get more stores early. We've -- unfortunately, we opened a lot of our stores in the last quarter. We're trying to get more deal so we can spread that out a little bit. And we'll give more color to this in March.
Operator: And our next question comes from the line of David Magee with SunTrust.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: Just a couple of questions. You mentioned some marketing differences in the fourth quarter as we're pushing things up by a couple of weeks. Is that -- would that theoretically cause, I say, a 2- or 3-point shift in terms of the comp momentum, that activity alone?
Jeffry O. Rosenthal: It could. It definitely could. Really, when you look at even like the Cardinals winning the world championship, when it's a low-volume week, those sales inflect your comp much higher than other things, even though it's a low-volume time of the year. And shifting a couple weeks on a promotion could definitely drive the comps down a little bit.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: Has the clear weather been a positive in November?
Jeffry O. Rosenthal: It's been -- weather has been about the same. But last weekend, it was extremely cold, and we saw some really good sales from it. So it's kind of been up and down, but weather definitely makes a difference. I don't like using weather as good or bad because I think over time, it all -- the world washes out over time. But definitely, we see when it's cold weekends, we definitely see better "pop" in the business.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: I noticed recently there was, I think, a fleece promotion you all were doing. Is that something that's the result of, say, maybe a special buy that you made? Or does that reflect maybe just needed to move some inventory?
Jeffry O. Rosenthal: Yes. Becky and I, we're looking at each other. We...
Rebecca A. Jones: We don't have a fleece promo going on.
Jeffry O. Rosenthal: Yes, we don't have any.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: I got an email, like -- okay, maybe I misread. I thought I saw on the email that was promoting that, but...
Rebecca A. Jones: We'll have a fleece promo for Thanksgiving weekend. But that's traditional, we do that every year.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And then just lastly, with regard to growing faster, you're adding some folks in. And that's good. Are you actually seeing a lot better availability of sites out there?
Jeffry O. Rosenthal: We have -- not that it's grown that much. What we're seeing some visibility on old Walmarts still getting chopped up. Believe it or not, we're still doing movie galleries and some blockbusters, even -- I think it's been 2 or 3 years now, and those are still coming up. New store construction, maybe a tick better, not a lot. But we feel, since we've really performed above pro forma on our new store models, we're very confident in opening up more stores. And we just need more feet on the ground to find those deals for us.
Michael J. Newsome: David, I agree with Jeff. I was at the Atlanta shopping center convention, and it's obvious that new store construction is just ticking up just a little bit. And the general consensus was it's going to be another 1 to 2 years before it gets back to where it was. But we're seeing a little bit, and we're certainly seeing some small landlords chop up some old Walmarts. Like in Hamilton, Alabama, they'll chop it up and put in a Hibbett and a Dollar Tree and a Cato. And that's perfect for us. So hopefully, we'll see more and more of that.
Operator: And our next question comes from the lines of Sam Poser with Sterne Agee.
Sam Poser - Sterne Agee & Leach Inc., Research Division: You're going to net open about 40 to 41 stores this year. I mean, when we think about next year -- I'm sorry to harp on it, I mean, when you say significant acceleration, does that mean that, could we see 6%, 7% store growth -- net store growth next year?
Jeffry O. Rosenthal: That's possible, but we're still working on next year. And we'll have that in March, Sam.
Michael J. Newsome: Well, Sam, we've got more deals done for next year than we had this time last year for this year. But we'd rather wait another 4 to 8 weeks. We'll probably really know then. But we expect it to be more than what we do this year on a net basis, that's for sure.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Okay. And then back to the -- can you -- you mentioned how the smaller weeks or the big event affect. But I mean, can you talk about the percentage to the comp that having -- without the Cardinals, sort of could you quantify the hurt to the comp that, that affected you?
Michael J. Newsome: Hold on just a minute, Sam.
Jeffry O. Rosenthal: Yes. So Cardinals and Rangers, you kind of put that all together, it's about 0.5. It's about 0.5 of 1 point on the comp, all in.
Sam Poser - Sterne Agee & Leach Inc., Research Division: And then the shift of the promotion would be about how much?
Rebecca A. Jones: It's the same, right?
Scott Justin Bowman: Same or more.
Jeffry O. Rosenthal: Yes.
Michael J. Newsome: Same or more.
Sam Poser - Sterne Agee & Leach Inc., Research Division: So when you say you're running up low singles, is that like a 3 or is that like a 1? I mean, can you give us a little more color?
Michael J. Newsome: That's 19 days over the quarter.
Jeffry O. Rosenthal: And so if you kind back into it, Sam, if you look at the quarter, we're kind of looking at low- to mid-singles.
Rebecca A. Jones: For the quarter.
Sam Poser - Sterne Agee & Leach Inc., Research Division: No. I know you're saying low- to mid-singles for the quarter. I'm talking about quarter-to-date, though. Can you give us some idea of sort of more specifically where you stand right now?
Rebecca A. Jones: Well, I think that really where we stand right now, based off of the fact that we've got 90% of the quarter yet to go, it's -- where we stand today, it's such a small piece of what we're doing that we're just really confident in that low- to mid-single for the quarter.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Okay. And then can you -- there's a lot of conversations about running versus basketball and all the things going on in footwear. Can you sort of give us some idea, by category, on how you saw -- on the stronger categories? And how you see different categories in footwear trending?
Rebecca A. Jones: We still feel really good -- in particular, Sam, the basketball business is really healthy. And we feel really good about where that's headed into the fourth quarter based off of the assortment that we've got and the allocations that we received from our supplier partners. But from a running perspective, it's a very big piece of the business. We do know that the consumer still is very engaged in color and they're very engaged in that lightweight still yet in the running piece. Running, as a category, isn't as impactful in the fourth quarter, just because people are not out running as much as they do in the spring and the summer. But the basketball business is very encouraging going into that fourth quarter. We're feeling really good about it.
Jeffry O. Rosenthal: Sam, I just want to clarify the Cardinals. That 0.5 point in the Rangers, that would really be a 0.5 point for the quarter, not for the first 19 days.
Sam Poser - Sterne Agee & Leach Inc., Research Division: So it would be a lot more meaningful early?
Jeffry O. Rosenthal: Yes, that's right. Yes, we were thinking quarter. And I know you're talking first 19 days -- or first 15 days.
Michael J. Newsome: And the promotional would be the same thing. It would be more meaningful to the first 19 days than to the quarter.
Jeffry O. Rosenthal: Right.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Right. So if you took those out, I mean, how meaningful? That's really what I was asking.
Michael J. Newsome: Yes.
Jeffry O. Rosenthal: Yes, you're right.
Rebecca A. Jones: We got a little bit turned around with what you were saying there, Sam.
Jeffry O. Rosenthal: Yes, I was thinking quarter...
Sam Poser - Sterne Agee & Leach Inc., Research Division: So I mean, like -- I mean, do you think that the first 19 days, is it like 5 points? Or is it 500 basis points on the comp?
Jeffry O. Rosenthal: I would say 3 to 4.
Michael J. Newsome: 3 to 4 would be...
Operator: And our next question comes from the land of Sean Naughton with Piper Jaffray.
Sean P. Naughton - Piper Jaffray Companies, Research Division: I may have missed this, but can you give what the transaction versus ticket in the third quarter? And then maybe speak to -- you guys have been doing a fantastic job in expanding operating margins here over the last few years. Where do you think about that number over the long term? And maybe just a comment also on the inflationary front that you're seeing with the goods that you're bringing into the warehouses right now.
Scott Justin Bowman: Yes. So what we're seeing on operating margin, we've seen some nice expansion here lately. And as we get into the new office and new DC, I mean, we do expect that to slow down a little bit with all those related expenses. But longer term, as we open more stores and keep a decent comp, it's pretty easy to figure that we'll continue to leverage operating margin, specifically due to leverage on store occupancy costs. But as you kind of look at the other piece on the margin side for product margin, it's going to be a little bit lighter next year. But as we roll into markdown optimization and get that up and running, as we get the new distribution center up and running, that's going to give us some margin benefit longer term. So if you combine some comp performance along with some of the initiatives we have internally with systems and new DC, we see expansion in operating margin for quite a few years.
Jeffry O. Rosenthal: And we still -- I guess the point that we're looking at, at some point, we want to get into the 15% range.
Sean P. Naughton - Piper Jaffray Companies, Research Division: Okay, that's fair. And any color on traffic or transactions on the quarter, how you guys did in the Q3?
Jeffry O. Rosenthal: Yes. So for ticket and transactions, I mean, we continue to see more of the comp driven by ticket, and transactions flatter.
Rebecca A. Jones: On a comp basis.
Jeffry O. Rosenthal: Yes, on comp basis. So we definitely do see that trend continuing. Keep in mind that some of the ticket increase is items per basket. And so the operations folks continue to do a very good job on the selling side to get more items into that basket. So that is a piece of that ticket increase for us.
Sean P. Naughton - Piper Jaffray Companies, Research Division: Okay, great. And then just maybe lastly, the NFL was a little soft. Any specific reason, do you think, it was soft? Or were it price points? Do you think it was product related? Just any commentary there would be helpful.
Rebecca A. Jones: We really think that it's just that not we're not really an NFL-based kind of geographic area. When you look at where the NFL is up in the Northeast, and it's such a big impactful business for that fan base, and we're really an NCAA movement. Then you look at the NFL teams in our area, the Falcons are down here in Atlanta and we also have the Cowboys. So we have the Saints, and the Saints haven't had a great season. So just like in any football-driven licensed area, wins and losses make a big difference in what the business is. Ticket in itself, it's not been really an issue, we don't think.
Operator: And our next question comes from the line of Anthony Lebiedzinski with Sidoti & Company.
Anthony C. Lebiedzinski - Sidoti & Company, LLC: Other than the markdown optimization, are there any other IT systems or projects that are in place to potentially improve the product margins?
Scott Justin Bowman: Yes, the main one that comes to mind is, as we look ahead for the new distribution center, we'll be looking at software to do a much better job on warehouse replenishment. So now it's mostly cross dock, so it's basically from vendor through the DC to the stores. But we'll be investing in some software that will really help us on the replenishment side from the DC, right? So that means from DC to store, and then from vendor to replenish the DC. So we'll be investing in some software there to get much more efficient in that area, which will allow us to replenish the stores more efficiently. So that should help from a sales and margin standpoint.
Anthony C. Lebiedzinski - Sidoti & Company, LLC: Okay, that's helpful. And also, could you give us also a breakdown of your same-store sales of strip centers versus enclosed malls?
Scott Justin Bowman: They're about the same.
Jeffry O. Rosenthal: Yes, they were really close for third quarter.
Michael J. Newsome: And that's a little bit of a change from 2 and 3 years ago. Strip centers were outperforming the closed malls, but it's gotten pretty even now in the last 12 months.
Operator: And our next question comes from the lines of Mark Smith with Feltl and Company.
Mark E. Smith - Feltl and Company, Inc., Research Division: First, just a quick question. How comfortable are you with the current inventory levels?
Rebecca A. Jones: We feel like we're in really good shape.
Mark E. Smith - Feltl and Company, Inc., Research Division: Great. And then second , Becky, I think you've talked about it a little bit earlier, but what could be the potential impact of not having an SEC school in the National Championship?
Rebecca A. Jones: Well, I'm not going to think about that. We're SEC driven.
Michael J. Newsome: Impossible.
Rebecca A. Jones: Yes. And it could be -- with any kind of special event, it's impactful at that point in time, not only because it's a decent amount of volume, but it's also really good at margin. So the thing is, is that when we look at it quarter-to-quarter, year-to-year, we take that into account in the way that we plan our business. And we know that we may or may not have that for the next year, and so we don't really put that into our number from a merchant perspective, to say, "All right. So we know that we did that, but how do we make our business work, whether that happens or not?"
Mark E. Smith - Feltl and Company, Inc., Research Division: Okay, that's fair. And then last question, can you guys talk at all about potential health care cost and impact as we look going forward?
Jeffry O. Rosenthal: Yes. So as we look into next year, we're not going to really see a lot of impacts from new provisions from the Affordable Care Act. There have been some that have rolled in already. So it's really be just a continuation of those and just, in general, kind of inflation for next year. So really no big impacts for next year other than just normal inflation. As we get into fiscal '15, you'll see a potentially little bit bigger bump. The 2 things that we're looking at, one is this auto enroll kind of provision, where folks will be automatically enrolled in health care but have the option to opt out. And a lot of that depends on your assumption on how many would not opt out and stick into that program? So that's one piece of it. And then the other thing that we're kind of getting some information on, and a lot of these regulations aren't entirely clear yet, but the focus on these exchanges, these state exchanges, there has been some indication that we could see a little bit a bump in costs to help fund getting these exchanges up and running. And that would be kind of a 1 to 2 year kind of temporary bump. But for next year, you're not going to see any big changes.
Operator: [Operator Instructions] Our next question comes from the line of Camilo Lyon with Canaccord Genuity.
Camilo R. Lyon - Canaccord Genuity, Research Division: Becky, I wanted to get your take on where you're seeing pricing for next year come in? It seems like there's been a pretty good pricing tailwind that has driven comps. And I want to just to get your sense on how that's shaping up for next year.
Rebecca A. Jones: From a pricing increase perspective from the suppliers, I think it's probably selling out a little bit. I think the major increases have come up across at this point in time. Our increases, more than anything else, would be about mix, not about price increase on the items itself.
Camilo R. Lyon - Canaccord Genuity, Research Division: And could you elaborate on that a little bit more? Is that shifting to -- is that more apparel mix? Or is that shifting to higher-priced footwear categories? Or any color there would be great.
Jeffry O. Rosenthal: Usually a footwear discussion, just because we've learned that when we go into these small markets, they're really hungry for premium products that they couldn't get before. And as we go into these small markets, it makes sense for us to really give them the premium assortments that they've lacked in the past. So we're adjusting that a little bit and making sure that we're really driving that business. And of course, the Jordan business has been very good for us, and that drives a higher ticket as well.
Camilo R. Lyon - Canaccord Genuity, Research Division: So that mix to more footwear in those slower markets will help offset just the natural deceleration in the overall pricing environment, is that -- do I have that correct?
Rebecca A. Jones: I'm not sure I know what you're saying there.
Camilo R. Lyon - Canaccord Genuity, Research Division: For next year, as the general pricing decelerates, you don't have the mid single-digit increases. Will the mix help to offset that deceleration?
Rebecca A. Jones: Yes. It absolutely will. You're right.
Camilo R. Lyon - Canaccord Genuity, Research Division: Okay. Just wanted to make sure I had that straight. And you said that the NFL wasn't a big part of your business, given your regional exposure. Is that also -- are you not -- do you not have a lot of the NFL jerseys, the new jerseys from Nike? Is that not a part of your business that's been at all helpful?
Rebecca A. Jones: Well, we do have the jerseys that we have, though. And we certainly have them in the teams that make sense. But when you're looking at Green Bay jerseys, we may have 3 or 4 stores that would carry it, as opposed to another retailer that has a larger penetration of stores that carries in -- specifically in the northeast. So it's not that we don't do it, it's just that our store base is not as large to where it will be impactful to the total.
Camilo R. Lyon - Canaccord Genuity, Research Division: Got it, understood. And then just finally on the product side, on the vendor side, there's been -- the new Under Armour basketball shoe, any insights as to how that's been received would be interesting and helpful. I know that they've come out with some pretty radical new product, and your insights would be greatly appreciated.
Rebecca A. Jones: Yes, it's limited distribution at this point in time. But every time we've had their new product hit the floors, it's been particularly good for us. But it's not a high penetration, so it's not impactful as far as moving the needle. I think that the more important thing is, is that they're bringing newness and excitement to the floor, and we really are pleased with what we've seen so far. We were quite pleased with the sign product and how that performed for us in the third quarter into back to school. And we know that the product that's coming for spring, and then also what we saw, the plans for back to school next year, that they're really getting stronger in that footwear piece, and we're excited to see that happen.
Operator: And our next question is a follow-up from the line of Sam Poser with Sterne Agee.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Just 2 questions. Clarification: does your guidance -- what does your guidance assume with the SEC situation? Does it assume that it's not going to repeat?
Scott Justin Bowman: Yes.
Rebecca A. Jones: Yes.
Scott Justin Bowman: Yes, it does. The guidance really assumes that we won't get that bump.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Okay. And then secondly, to follow up on the Under Armour question, another retailer said that there was sort of a north-south divide with a lot of the Under Armour footwear. Are you seeing like your stores farther north aren't doing as well, and it's really much more southern exposure doing better?
Rebecca A. Jones: Sam, that's a good question, and I don't have that answer off the top of my head. I know that overall, we're pretty pleased with it. And what we've seen is that I don't -- if you'll remember like a year ago, when Reebok was really strong with the Zig and the Flex, we were very strong with that program. It was phenomenal for us across the board. And then later on, it became very, very strong in the kids' area. And we heard that other retailers didn't do as well with that as we did, and I don't know if that's the truth or the same from Under Armour. But from our perspective, we're pretty pleased with how it's working for us.
Operator: And I'm showing no further questions. Mr. Newsome, I will turn the call back to you for closing remarks.
Michael J. Newsome: Thank you. In summary, we are very pleased with the results we achieved in the third quarter. Earnings per share increased 20% on top of 34.1% increase in Q3 of last year. Our same-store sales have increased 12 straight quarters, and we have raised guidance 10 straight quarters. We are a greatly improved company, and we will continue to improve, and I believe we will continue to achieve great results. Last 3 years, new stores are performing well above our new store model. This gives us some encouragement to open more and more new stores. We will continue to increase our new store count, net of any closings, again next year. We have added to our real estate staff, and we will continue to grow our new store count in the future years. Hibbett Sporting Goods has a great future. Thanks for being on the call today, and we look forward to speaking with you on March 15 at 9:00 Central Standard Time. Thank you.
Operator: Ladies and gentlemen, that does conclude the conference call. We thank you for your participation, and ask you, please disconnect your line.